Operator: Good day, ladies and gentlemen, welcome to the Mammoth Energy Services First Quarter 2018 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference call is being recorded and will be available for replay on Mammoth Energy Services website. I would now like to introduce also today's conference, Mr. Don Crist, Mammoth Energy Services Director of Investor Relations.
Don Crist : Sir, you may begin. Thank you, Shelley. Good morning, and welcome to Mammoth Energy Services First Quarter 2018 Earnings Conference Call. Joining me on today's call are Arty Straehla, Chief Executive Officer; and Mark Layton, Chief Financial Officer. Before I turn the call over to them, I'd like to read our safe harbor statement. Some of our comments today may include forward-looking statements, reflecting Mammoth Energy Services views about future events. These matters involve risks and uncertainties that could cause our actual results to materially differ from our forward-looking statements. These risks are discussed in Mammoth Energy Services Form 10-K, Forms 10-Q, current reports on Form 8-K and other Securities and Exchange Commission filings. We undertake no obligation to revise our update publicly any forward-looking statements for any reason. Our comments today may also include non- GAAP financial measures. Additional details and reconciliations to the most directly comparable GAAP financial measures are included in our first quarter press release, which can be found on the website, along with an updated presentation. Now I'll turn the call over to Arty.
Arty Straehla: Thank you, Don, and good morning, everyone. The first quarter of 2018 marked our sixth quarter as a public company and the third consecutive record quarter on an EBITDAR basis. The first quarter, while difficult due to several factors, showed the strenght for our integrated and diversified model. The quarter was driven by a successful execution within our infrastructure segment, while our integrated completion business avoided many of the standard logistic issues than many of our competitors faced. The customers that utilized are combined patient pumping sand and logistics capabilities experienced an uninterrupted completion of their wells in a timely manner. While Mark will elaborate further on our financial performance in his comments, I wanted to point out a few key highlights I am particularly proud of. Our Infrastructure segment approximately 65% of our overall revenue during the first quarter, disregard differentiation. Expansion into infrastructure activities was targeted specifically, to lessen the impacts of the volatility seen over recent years in the commodity markets and stabilizing our earnings potential. During the first quarter, we spent approximately $36 million on capital expenditures and we were able to reduce our debt by approximately $61 million. As of March 31, 2018, we had $39 million in debt, down from $100 million at year-end and $10 million in cash. Looking forward to the remainder of the year, we anticipate free cash flows to allow for increased financial flexibility, which we intend to use to grow both organically and through acquisitions. We remain aquisitive and targeted acquisitions opportunistically focusing on such technological shifts, geopolitical disruptions or bottom next in current operations. The events occurring over the past 12 in the Permian Basin are a prime example of this. As many of you have heard, the rapid production growth in the Permian has caused a shortage of oil pipeline capacity and the shift in invasion sand has caused the trucking bottleneck. We were proactive in expanding our Sand hauling operations into the area in late 2017 to take advantage of one of these bottlenecks. We are currently evaluating approximately 35 transactions, some of which are in areas that would help solve bottlenecks in the current oilfields service system and are have rapid paybacks. As our history has shown, we will remain disciplined in our deployment of capital, choosing only the transactions that are projected to meet or exceed our return thresholds. Now let me give you an update on our current operations, starting with our infrastructure division. Our team has been in Puerto Rico for 191 days or just over 6 months, as of today, with nearly 1,000 people and more than 600 pieces of equipment on the island. We continue to work closely with PREPA and other governmental agencies to restore to all citizens as quickly as possible. Through the deployment of the mutual aid network in Puerto Rico and in the Northeast during recent winter storms, several large IOUs were able to see our workforce and action, which has translated into increased interest for our services. We remain in discussions with several IOUs to expand our operating footprint and build our backlog in all of our operating areas. The Infrastructures divisions total backlog was approximately $900 million at the end of the first quarter, as compared to $1 billion and the end of 2017. We continue to work across the Northeast, Southwest and Midwest portions of the U.S. and in Puerto Rico for private, public investor-owned and cooperative utilities. From an oilfield perspective, the first quarter is always the most challenging. Our teams performed very well. Starting with our frac business, the first quarter was operationally challenging. Our teams did an outstanding job of moving sands to the jobs where we were supplying sands and while our job site sands supply times, our crews did not see downtime due to lack of sand. The same cannot be said for some of our customers that supplied their own sand or last mile trucking. Due to the sand logistics challenges, we experienced some idle time on a portion of our fleets, which impacted our financial performance during the quarter. The vertical integration of Mammoth remains a distinguishing factor for our customers. Inquiries from potential customers regarding the use of our suite of completion offerings has increased over the past few months as a result of the recent events. As of today, all of our fleets are operating with 3 fleets in the Northeast, 2 in the midcontinent area and 1 in the Permian. Based on export pricing today, we do not change your view with regard to adding track capacity. We feel the need to see pricing increase by approximately 10% to 15% before ordering any additional fleets. We remain in close contact with equipment manufacturers with the times remaining in the 6 to 7 month timeframe. As you will recall, the previous expansion of our pressure pumping fleet during the 2017 was done at approximately have the current new build cost, providing attractive returns. At this point, given leading-edge pricing, combined with all retail prices for new equipment, we believe the payback is simply not there to meet our return thresholds. We pump 1,672 stages during the first quarter of 2018 with our EBITDA margins coming in at 17%. While our margins were slightly lower than the fourth quarter, this was a direct result of lower utilization caused by the self sourcing of sand by some of our customers. We anticipate a sequential recovery to stable utilization throughout the balance of 2018. Turning to sand. When was the realistic issues made for a very challenging quarter. I can't say enough about our team, which, despite logistical challenges, was able to facilitate the movement of sand, both via rail and barge to keep our pressure pumping cruise supplied. Again, our vertically integrated model work as design. The rail issues that first arose in mid-February have eased some but sand transportation is still not back to normal. Our teams continue to work through these issues to deliver sand to both our crews and our customers. While we don't have a timetable as to when the rail condition will be fully alleviated, we anticipate the issue should be resolved by year-end. The expansion of tailor a facility to 1.75 million tonnes per annum is now complete with both the dry and wet plants operating. The equipment needed to upgrade the dry transplant at Prona is on order and expected to be delivered, installed and commissioned by mid-2018. Once the expansion at prom is completed, Mammoth's total processing capability is expected to increase to approximately 4.4 million tons per annum. Approximately half of our processing capability or 2.1 million tons is expected to be consumed by customers utilizing the pressure pumping services and we're currently have another 1 million tons under long-term take-or-pay contracts. The 2 contracts in place are 3-year take-or-pay agreements, which run through late 2020. We sold approximately 735,000 tons of sand during the first quarter of 2018, of which 19% was brokered. The average sales price for the sand sold during the first quarter of 2018 was $44.42 per ton. Sand demand and pricing remain strong, with most of our current available processing capabilities sold out for the next 60 days. Our current pricing for 40/70 approximately $57.50 per ton, with some sport markets trading in the mid $60s per 10. Our blended first quarter production cost came in at approximately $19 per 10, in line with our projections. As our internal capacity increases through -- throughout 2018, we anticipate a gradual decrease in our production cost towards the mid-teens by mid-2018. Before passing the call to Mark, let me take a moment to stress one point; Following the rapid increase in our asset base in 2017, we felt that Mammoth has the necessary management teams in place to allow for expansion in all of the operating areas. We remain acquisitive and intent to be a consolidated in the years to come through acquisitions, organic growth and vertical integration to enhance our efficiencies and take advantage of for managements lean manufacturing background. Given the significant free cash flow's we expect in 2018 and beyond, we anticipate building a cash position throughout the year. We remain focused on reinvesting the cash to grow in our core operating areas and possibly into new areas. We will remain disciplined and intend to target opportunities that are projected to meet or exceed our targeted thresholds. We have no interest in growing just for the sake of growing. If our cash flows continue as we expect, and we are more identified organic or strategic growth opportunities that meet our standards, we will evaluate other alternatives to improve stockholder value. Let me turn the call over to Mark to take you through the financial performance during the first quarter of 2018, after which we will take questions.
Mark Layton: Thank you, Arty. I hope that all of you have had a chance to read our press release so I will keep my financial comments brief and focus on certain highlights. Mammoth's revenue during the first quarter of 2018 came in at $494 million, up more than 33% from the fourth quarter of 2017. The growth of our Infrastructure segment, the expansion of our Pressure Pumping division, the growth of our internal sand production, improved equipment utilization and improved pricing for our services, all contributed to the higher revenue, compared to the prior period. Net income for the first quarter of 2018 came in at $56 million or $1.24 on a per share basis. Adjusted EBITDA for the first quarter of 2018 came in at $131 million, up approximately 18% from the fourth quarter of 2017. Our corporate adjusted EBITDA margin was 26% during the first quarter, as compared to 30% in the fourth quarter of 2017. The reduction in corporate margin was a direct result of the lowering of our daily billable rates in Puerto Rico in early January, 2018. Selling, general and administrative expenses came in at $39 million in the first quarter of 2018, up from $27 million in the fourth quarter of 2017. Growth across all of our operating segments and an increase in total employee count contributed to the increase in total SG&A expenses, compared to prior periods. SG&A expenses, as a percentage of total revenue, came in at 7.8% in the first quarter of 2018, compared to 7.4% during the fourth quarter of 2017. Going forward, we expect SG&A to grow on a nominal basis, as we continue to grow, but remain in the range of 5% to 8% of total revenues, which we feel compares favorably versus our peer group. CapEx during the first quarter of 2018 was approximately $36 million, the majority of which was related to the organic growth of our Infrastructure segment in the continental U.S. and the expansion of our Taylor facility. Our 2018 CapEx plan is currently $125 million. As our cash position grows, we expect to increase our CapEx budget to pursue projects that meet our targeted return thresholds. As we see the market today, we do not anticipate adding frac fleets or further increasing our sand processing capacity beyond our current plans. This may change as the market dynamics change. Today we see significant opportunity to invest in electrical infrastructure and in general oilfield logistics, including trucking. And particularly, we see opportunity in the Permian Basin. The tightness in Permian oil pipeline take away capacity is having an effect on the oil differential and is expected to present some transportation opportunities until the oil pipeline capacity catches up to the growth and supply. In past, oil growth cycles, the differentials increased to more than $20 per barrel and significant logistical bottlenecks arose. Another potential bottleneck on the horizon is the pending IMO regulation changes that are going to affect in January 2020. We are currently evaluating what impacts these new regulations mean for the industry and where potential opportunities may arise. Our borrowing base on March 31, 2018, was $170 million with approximately $39 million drawn. We also had cash on hand of approximately $10 million, resulting in liquidity of approximately $135 million net of letters of credit. Based on our current CapEx budget and cash flow outlook, we anticipate fully repaying our outstanding debt during the first half of 2018. We think our shareholders for their support. This concludes our prepared remarks. Thank you for your time and attention. We will now open the call for questions.
Operator: [Operator Instructions]. And our first question comes from Daniel Burke from Johnson Rice.
Daniel Burke: I guess I will start out with a couple on Puerto Rico, if you don't mind. Already -- can you may be update us, I know it's essentially a public process, but where the RFP process might stand for potential reconstruction work on the island?
Arty Straehla: Sure, Daniel. The RFP process has begun in RMS. There's nothing to really announce right now, but we are working to the processes as PREPA and the Puerto Rican government are. We think we have a competitive advantage, and that we have nearly 1,000 people and 600 pieces of equipment. So we think that as we go forward, we are looking forward to possibility of getting that RFP. We think it's -- we expect it to be very competitive.
Daniel Burke: Okay, fair enough. And then, I don't if this you are or maybe Mark, but this might be clumsily worded, but looking at the effective tax rate in Q1, do you guys have any legal or contractual ability to mitigate your tax expense in Puerto Rico?
Mark Layton: Daniel, PREPA this by saying that the tax profile is complicated and there are a couple of factors impacting the effective tax rate inside of Q1. First, the effective tax rate is impacted by geography. The effective tax rate in Puerto Rico is approximately 45% and the net income before taxes was heavily weighted towards Puerto Rico in Q1. The second factor is that sequentially, the effective tax rate declined by approximately 9% when you consider that Q4 included approximately $31 million in provisional tax benefits related to the tax act. And then the final factor that is impacting the effective tax rate inside of Q1 is that there is a book tax difference relating to the bad debt reserve of approximately $25 million that we took in Q1. All that being said, as you alluded to, on a go forward basis, recall that we entered Puerto Rico on an emergency basis. So as we look forward to a reconstruction effort, we're evaluating alternatives relative to that tax structure to attempt to minimize our liability.
Daniel Burke: Okay. And then I'll ask may be just 1 last question. I think you guys referred to the IMO low sulphur regulations. And this is more than observation than a question but the question would be, I take it then as you look at the 35 transactions and the opportunities that will present themselves to Mammoth, we shouldn't think of you all and I don't think you've encouraged this but we shouldn't think of Mammoth as confined to sort of traditional office plus infrastructure in terms of the opportunities set your evaluate. Is that fair?
Arty Straehla: Daniel, as always, we search for the best return on invested capital. We try to go to areas where there is geopolitical shifts or there's regulations shifts things like that. IMO, of course, is International Maritime Organization. It's the governing body of the city , and by 2020, they're going to lower sulphur content. We think that opens up some opportunities that we will explore. So I think your question about IMO is very timely.
Operator: Our next question comes from Tommy Moll from Stephens.
Thomas Moll: So I wanted to start on the oilfield service side. In Q1, like a lot of your peers, there were some transitive issues on the pressure pumping -- for the pressure pumping fleet businesses. Sounds like in the cases where customers were using your vertically integrated platform, you were able to navigate those better than in cases where customers were self sourcing their own sand. So if you could give us any more detail on that, it would be great, and then also if you can peer through the Q1 noise and give us a sense of the underlying fundamentals, particularly in terms of price for both of the business lines as we are going to Q2, that would help a lot.
Arty Straehla: Well let me start off by saying, Tommy, that our vertical integration model works as we talked about on the call. It's one of those tight situations where during Q1, where we were supplying the sand, we were supplying the logistics. We never did have downtime. We were able to pump all the way through that. Where the customers supplied this their own sand and many of the MPs that we work for some of the E&P is that we work for supply their own sand, their own logistics and we had to either postpone or completely cancel those frac jobs in Q1 because they could not get the sand to the destination, it wasn't available. So we feel like it worked -- when you look at it from an overall basis, we effectively ran 4.7 fleets and it would be right at $14.8 million per fleet with our effective rate that we were running. But downtime, that was not available from our customers perspective was what lowered the number from 6 fleets to 4.7.
Thomas Moll: Yes. And any sense you can give us on what the macro looks like in the pressure pumping and sand as we go into Q2?
Arty Straehla: On the macro, yes, go ahead.
Thomas Moll: While I was just ask for any commentary on price trends.
Arty Straehla: On pricing trends, we continue to press price on the pumping side. We believe that the pumping market is still undersupplied. The impacts in Q1 is, as Arty dimension, were largely due to weather and logistical issues that were based on some of our customers. But going forward, we expect both utilization and price increase on the pumping side. On the sand front, our sand production is currently sold out for the next 60 days and we're seeing 40/70 spot market rates in the $55 to $60 range at the OB mine.
Arty Straehla: Let me add a little bit too that, just so you see where we're coming from. We are very bullish oil. We think that demand is going to remain strong. We've seen more reports in the last two weeks, including Pira and some other folks that are starting to talk about $80 to $100 oil. With that, one of the things you noticed from our -- the first portion of recall is that we are now active in the Permian Basin with one of pressure pumping fleets. We expect an increase in that as we go forward and we pivoted a little bit away from natural gas to the stronger, bullish areas of oil. And we always said we would not go in to the Permian unless we had a customer that would put us in, and we have certainly found those customers.
Thomas Moll: If I could shift to Puerto Rico for a follow-up. Will just wait to hear from you on the RFP for the construction, but in the meantime, I wanted to drill down on restoration. If you just look at how many folks have been -- have the lights turned on, it looks like we're most of the way through that phase, but I have to imagine that the grade is still pretty fragile at this point I wonder if you can comment on any additional opportunities there might be to win work on the restoration side or is most of that behind us?
Arty Straehla: Well, there's still -- I mean around 96% of the customers in Puerto Rico have electrical power back on, but there is still an awful lot of restoration work to go. And you can see how frail the system is and we have a couple of blackouts in the last few weeks and it's a very fragile system the way that it set up. But the restoration work, most of the restoration work is tremendously, tremendously adverse conditions. You're in the mountains, you're in the hills, you're in the forest, you have to cut trees to it, so we expected to go on through August that the paces that we are working now. So we feel like that's a very strong indicator that it will continue. Now let me -- one of the things that I do want to highlight that would like to talk a lot little bit is the pivot from Puerto Rico to the Mainland. And our backlog went up substantially from $425 million to $500 million and one of the things that the Puerto Rican opportunity and work in the Northeast has given us is with the agreements -- mutual aid agreements that were in place, we were able to a lot of the aisle use came down to the island. They saw us work, they've got an example of it and our demand has shot up accordingly. Our demand remains extremely strong on the Mainland, and we continue to add additional contracts in that area on the mainland.
Operator: Our next question comes from James Wicklund from Crédit Suisse.
James Wicklund: Six quarters as a public company, time flies when you're having fun. Bad debt expense, it was selling $16 million in Q4, $25 million this quarter, can you talk about was the bad debt expense is? And we frankly didn't have in our model for Q1 because we didn't think it would repeat. And so after you explain what it is, will it repeat in Q2 and Q3 and Q4?
Mark Layton: Yes, Jim, so you can see the segment disclosure, a large percentage of that relates to our Infrastructure segment. And we evaluate a number of factors when we reestablish the reserve, including the customer's ability to make payment, economic events and other factors. And we adjust that reserves as additional information becomes available. In regards to whether that continues into the remainder of 2018, we'll have to continue to evaluate those circumstances. It's a dynamic process and we have ongoing conversations with our customers. We feel hopeful that they will collect on the work we've performed, but we've got -- those reserves are established relative to the customer's ability to make payment. We're going to integrate that inside of our risk factors relative to the credit profile with some of our customers. So it's probably a longer answer than what you wanted but those are the factors that are going into the reserves good.
James Wicklund: Did you pull any of the reserves from Q4 out in Q1?
Mark Layton: No, sir. There $16 million establish inside of Q4 is still reserved. So $41 million round numbers in total.
Arty Straehla: So Jim, the expectation would be that if we do end up getting paid, we would reverse out that total $41 million.
James Wicklund: Okay. And you let us know what that was in the income statement when you do that so we can adjust for operating?
Mark Layton: Absolutely.
James Wicklund: Okay. The next question, Artie, you talked about the future opportunities and take away issues and differentials in the Permian and I think that's right all the differential is, is him near-term overcharge that sold by time and capital. But it made it sound like you were going to build pipelines, I could be wrong. It's an option for getting oil out of the Permian more by truck or more by pipeline or are there other ways to solve differential takeover problems in the Permian?
Arty Straehla: I think the pipeline constraints are with us for a while. If you look at them, a lot of the estimates show that the start to get fixed in '19, but they're not considering the above for continued oil reduction. So we tried to go through areas where we think we can create value. Obviously, we already have trucking operations and terminals and that type of thing, not for oil terminals, but for sand hauling and rig removing businesses, we already have some infrastructure there that we will allow us to work on trucks and all that. We just try to see where the opportunities are and we can make the best return on investments. We certainly are not done with that, universal never, but we will looking more trucking side effect and then we own the pipeline side.
James Wicklund: Considering your track record of creating value in way we don't expect, damned, if I'm going to shoot at you.
Operator: Our next question comes from Jason Wangler from Imperial Capital.
Jason Wangler: Just wanted to follow-up a bit on, may be on Jim's question may be on the M&A side. You talked about so many fields that you guys are looking at. How is the landscape and maybe that changing? We warping you seen our present so far this year. Have you seen any type of shift and people moving around a lot or just how you're seeing that as you get more something?
Arty Straehla: Jason, I have characterized it before, when the oil boom first started coming back, you saw a lot of opportunities, a lot of deals with very, very high expectations or hockey skate affected, basically, but we were going to shoot up for 5x EBITDA. We started that returning to see some of those come around for the second time with the more realistic evaluation. And we certainly tried to take advantage of that. As you know we have a very, very strong M&A team. We evaluated 135 different acquisitions last year, settled on 6. I would argue we are pretty fantastic returns on the invested capital for us. In addition, we are currently looking at 35 different acquisitions right now. So we are on track to -- and we've always -- our story has always been about mergers and acquisitions and being an acquisitive company, and at the same time, building organically. So we continue to believe that's the best way to grow.
Jason Wangler: Okay. And then curious on the infrastructure, you talked a bit about the backlog before and obviously, the U.S. side it's building up. Could you just talk about how work you see that kind of falling from even a broad based perspective, when you're going to be ramping up that side of the business?
Mark Layton: Yes absolutely. As you look at Q1, the majority of our CapEx was spent in the Infrastructure segment, so we're building in some growth in the lower 48 and that segment and I would expect as we continue to deploy capital into that segment throughout the year that you will see that backlog increase to correspond with the deployment to the CapEx.
Arty Straehla: Our original plan was $125 million. As you know, we think we'll generate free cash flow and there's a lot of alternatives that we can do with that free cash flow, including the mergers and acquisitions, additional investments in infrastructure, or it could be something that returns money to our shareholders. So we try to look at all value opportunities that we can create.
Operator: [Operator Instructions]. Our next question comes from Praveen Narra from Raymond James.
Praveen Narra: Just following up on the of question North America. From what you've seen so far, can you talk about how the profitability of the North America mainland business has performed throughout your expectations?
Arty Straehla: It's performed right in line with expectations. And I think, Artie briefly touched on it earlier. But through the execution of the team, both in Puerto Rico as well as in the Northeast, and the visibility that's given to IOU use through the mutual aid network, we're seeing a bit of a shift inside of North America from the distribution side of work more towards the transmission side. So as that mix picks up and we get more transmission work in the lower $48, that has a positive impact on the margin in the lower $48, which we previously cashed at 15% to 18%, but certainly some upside potential there as we pick up more transmission work in the lower $48.
Arty Straehla: Yes. We think we our growth profile, Praveen, will be predominantly going forward in North America and Mark touched on very strong subject of the transmission versus distribution and we continue to pick up a lot of that work and of course, you know that we like to vertical integration and our inputs in those areas, so does create opportunities for us. On the oilfield services side, I can't say enough about the performance of our sand team, and what they did. To get sand through really, really tough conditions that had developed with the barges and Ohio River flooding as well as with the -- we got a qualified government at sea, and we are shutting us down and they we're able to overcome that to keep a pressure pumping cruise going. So our vertical integration model works.
Praveen Narra: Perfect. Just moving back to Puerto Rico. On the question about the ongoing RFP. How do you think about the company intensity of that business, if you win the war down there? Should we think about that as relatively the same magnitude as we've seen so far? Or is it more I'll ask how do we consider that?
Arty Straehla: Certainly there would be some incremental capital for permanent basis to go out and do that, but we are expected to be -- I think we're somewhere around and somewhere in the process about $30 million on capital that we would need in an RFP situation. That would be additive to our plan. We've done the modeling and everything to see what that would do, but we also believe that there's other opportunities, including the vertical integrations. We created coper aviation and we actually own helicopter assets, and we think that is a way to go as you move into the transition -- transmission business. Helicopters in Puerto Rico are extremely quick and we've been operating in between 26 and 28, almost full-time for since we've been on the restoration mission.
Praveen Narra: Okay, great. And just there is one quick one of the pressure pumping side. And go forward contracts for a loss in 3Q or at the end of 3Q, and expectation to relocate out of that barrage or how do you think about those?
Arty Straehla: We certainly think demand in Appalachian or we have an excellent working relationship with go forward have an ongoing dialogue with them in regards to those contracts, although we have nothing to announce at this time, in regards to an extension. But I think as Artie touched on earlier, we're bullish on oil, the equipment is mobile. So we've got the opportunity to relocate that equipment if we need to. And we've made a cognitive shift over the last 15 months to deploy more equipment towards the oil basins, as opposed to natural gas basins.
Operator: And our last question comes from John Daniel from Simmons & Company.
John Daniel: I think I'll start with a follow-up to Praveen's question on the frac contracts. If nothing else changes in the market when the role in the spot pricing, the vision is being accretive or dilutive to the segment?
Mark Layton: We don't anticipate any negative impact on our financial results. Spot market pricing continues to increase, so we would expect some opportunity for it to be accretive to current results.
Arty Straehla: We still think the market is undersupplied, John. And we haven't seen the returns here. We think we have better opportunities with the returns and buying another frac spread at this point.
John Daniel: I think if memory serves correct, you said pricing would be going to go up 10% to 50% or you'd consider earning a new frac lead, given bullishness in oil , given the endless supply as you see it, do you think that, that 10% or 15% increase materializes this year?
Mark Layton: We think so but we need to see a few more data points to confirm that thesis up.
John Daniel: The last one for me, the Puerto Rico contract, that gets the most questions from clients, and I know you've mentioned nothing formal to announce now but there's, I guess, the RFP process with respect to reconstruction. When would you expect to have any visibility on an outcome for that?
Arty Straehla: We think that something will come within the next 30 days. It's generally a very competitive long process, but we would hope it started actually in February timeframe, and we would like to see -- we expect to see something in the next 30 days.
John Daniel: Just last one for me. I recognize you guys have implied a disciplined approach because you evaluate all of M&A opportunities, but given such a large volume of potential deals out there, the 35 that you referenced, is it safe to assume there is really hypermobility, something gets and asked this year?
Arty Straehla: I think so. We are basic thesis has always been around something around acquisitions and organic growth and we will certainly hope so. Now again, the numbers were pretty daunting in the last year, 135 different discrete acquisitions will of that, we pulled the trigger on 6.
Operator: And this concludes today's Q&A session. I would now like to turn the call over for closing remarks to Arty Straehla.
Arty Straehla: Thank you. And we want to thank everyone for dining and today during this very busy time. I want to personally thank our team. Without the hard work performed by each of you, a member could not be what it is today, in particular, we do thank our infrastructure teams who is showing the utmost professionalism while working in a very challenging environment and towards an group who went above and beyond what is expected to facilitate movement of sand during the challenges presented over the past few months. The future is bright for Mammoth, as a relevant balance sheet we will allow us to become an industry consolidated in the years to come. We look forward to speaking with you again in early August when we really the second quarter earnings. This concludes the First Quarter Conference Call. Good day.
Operator: Thank you. Ladies and gentlemen, this does conclude today's program. You may all disconnect. Everyone, have a great day.